Operator: Ladies and gentlemen, thank you for standing by. I am Yotis, your Chorus Call operator. Welcome, and thank you for joining the Bank of Cyprus conference call to present and discuss the preliminary full year 2025 financial results. [Operator Instructions] And the conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Panicos Nicolaou, Chief Executive Officer. Mr. Nicolaou, you may now proceed.
Panicos Nicolaou: Good morning, everyone. Thank you for joining our financial results conference call for the year ended 31st of December 2025. As always, I am joined by Eliza Livadiotou, Executive Director, Finance; and Annita Pavlou, Manager, Strategy, IR and ESG. After my introductory remarks, Eliza will go into more detail on our financial performance for the year, and then we will be very happy to take your questions both during this conference call and afterwards. Note that this set of financial results does not include any guidance or financial targets for the coming years as we are planning to outline our strategy and priorities at the investor update presentation scheduled on March 3, 2026, and I appreciate your patience until then. Let me take the opportunity now to invite you to this presentation, which you may attend in person in Athens or join via hybrid format with details on the event disclosed on our website. This event will start at 3 p.m. local time. I would like to start now with Slide #3. Our investment case drivers are well known: a strong economy, our dominant position in a profitable banking market and diversified, highly profitable business model and strong distribution, supported by high capital ratios. Slides 6 and 7 give a brief overview of the macroeconomic environment. We operate in a strong, diversified, mainly service-based economy that is growing faster than Europe. During 2025, economic growth was 3.8% in real terms, exceeding significantly the Eurozone average. This economic growth was the outcome of strong fundamentals with low unemployment, a strong fiscal position, low inflation and record tourist activity. Let's turn to Slide 8 and a summary of our key highlights for what was another exceptional year. This includes strong volume growth with EUR 3 billion of new lending translating to 8% increase in the loan book year-on-year; 8% growth in deposits, well exceeding our expectations; strong profitability of EUR 481 million, corresponding to a return of tangible equity of 18.6%, supported by resilient revenues and maintained high efficiency with a cost-to-income ratio of 37%. Our asset quality remains solid, demonstrated with an NPE ratio of 1.2% and a cost of risk of 33 basis points. We've had a very healthy organic capital generation in excess of 400 basis points. We are declaring a 70% dividend distribution,, while seeing continued strength in capital ratios with CET1 at 21%. On Slide 9, we discuss shareholder distributions, a key focus area for us. During the course of the year, we targeted to deliver a 70% payout ratio of 2025 earnings, at the top end of our distribution policy. And today, we are delivering on that promise, proposing a final cash dividend of EUR 0.50 per share. Together with an interim dividend of EUR 0.20 per share already paid in October 2025, the total dividend amounts to EUR 0.70 per share or EUR 305 million for 2025, a significant increase in both the total payout ratio and the total quantum compared to prior year. We have built a strong track record execution and continue to provide attractive returns to our shareholder base. Moving on Slide 10. Clearly, the last 3 years have been exceptional. We have averaged close to EUR 0.5 billion of annual profits and we maintained very competitive ROTE despite increasing capital base. Of course, the high rates helped us historically. But I would like to highlight that during 2025, we delivered a very strong result while absorbing the normalization in interest rates. We have built a strong track record of shareholder returns with cumulative distributions of almost EUR 550 million over the last 2 years. And despite the growing distributions given our exceptional current generation, we have been strengthening both of our equity and our capital base. Finally on Slide 11, you can see how our performance for 2025 compares to the targets we set ourselves. On every metric, we met or exceeded our expectations, giving us confidence that we will remain a very profitable bank in a normalized interest rate environment. I will now hand over to Eliza, who will run through our full year results in more detail.
Eliza Livadiotou: Thank you, Panicos, and good morning from me, too. Let's start with a snapshot of the quarter on Slide 13. You can see the key trends for our quarterly results. We are seeing NII approaching stabilization as rates stabilize. We have maintained a very strong cost efficiency ratio despite bringing forward some restructuring costs into Q4, which I will elaborate on later, whilst our asset quality remains strong and cost of risk continues to be low. The fourth quarter net profit includes a number of exceptional items. So whilst we are pleased with the EUR 128 million quarterly result, this is not the run rate to be included in your model. Moving now to Slide 14. As mentioned, there are a number of noteworthy items that I want to unpack to help you with your modeling. First, I want to draw your attention to the latest tax reform. Effective from January 1, 2026, the corporate tax rate in Cyprus has increased to 15% from 12.5% previously. The group's tax charge in Q4 of EUR 4 million included a regular charge on profit, but was largely offset by a one-off positive impact primarily from the remeasurement of the deferred tax assets from the change in the corporate income tax rate to 15%. This is noncash and is expected to be reversed in the next year through the higher corporation tax liability. So the impact is purely technical. In addition, as i mentioned earlier, we brought forward staffing decisions into Q4. Specifically in Q4, we completed the voluntary staff exit plan where around 110 employees were approved to leave the group, which led to a relatively higher charge of EUR 14 million in the quarter and totaled EUR 19 million for the year. While such expenses are part of the normal running of the business and we include them in the efficiency guidance we give, this quarter, the number was double the normal run rate. Furthermore, there were a number of small positive items adding to just over EUR 10 million that we want to flag: a EUR 5 million in insurance on the release of the premium tax; EUR 2 million on the insurance reinvestment; and finally, we benefited by a net credit of EUR 4 million in other provisions litigation. These should be considered one-offs and will not be repeated in future quarters. Lastly, as a reminder of the calculation of our dividend payout ratio, we use the group's adjusted recurring profitability adjusted for the AT1 coupon, which we show in the table to be EUR 434 million in 2025. Moving on to Slide 15. We have a simple balance sheet characterized by high liquidity with our deposit base twice the size of our loan portfolio. Our balance sheet has grown by 8% since the beginning of the year, mainly as a result of higher customer deposits, while our strong liquidity is gradually being deployed to our loan and fixed income portfolio. Slide 16 and net interest income now. In Q4, we saw our NII increase by 2% to EUR 183 million, reflecting primarily very strong growth in our deposit base, which rose by 3% on the prior quarter, equivalent to an annualized growth of over 12%. Although we are pleased with this development, we would not necessarily expect this pace of growth to continue due to the seasonal timing and behavior of the deposits we collected in the quarter. We estimate that this unusually large increase has contributed around EUR 3 million for our noninterest income. Overall, we are pleased with NII development during the year. Increased hedging activity, dynamic volumes and depositor behavior allowed us to absorb the brunt of the rate reductions. Moving now to our hedging activity on Slide 17. Our significant hedging efforts undertaken over the last couple of years have reduced our NII sensitivity to a 25 basis point parallel shift in interest rates by EUR 15 million since December '22. We added around EUR 3.1 billion of hedging during '25, taking the total to EUR 12.1 billion, covering almost half of the group's interest-earning assets. On Slide 18, you can see more details of our deposit trends, where I previously mentioned the base of EUR 22.2 billion grew 8% year-on-year. And the breakdown of our deposit base on the bottom-left chart shows that more than 80% of our deposits are from Cypriot residents. We have seen deposit costs declining from the peak in '24 and now stand at 27 basis points for the fourth quarter of the year, whilst the share of term deposits remains broadly unchanged on the prior quarter to 30%. The well-managed deposit costs and mix mainly reflects a very liquid Cypriot banking sector as well as our strong franchise and market position. Now turning to Slide 19 and new lending. During '25, we have granted a record level of new loans of EUR 3 billion, up 23% on a full year basis. We observed growth across all business lines with the largest contribution coming from our international portfolio, primarily driven by effective pipeline execution. Looking now to Slide 20. We are pleased to see our loan book growing by 8% in 2025, well ahead of our initial expectations. Our domestic loan book, representing nearly 90% of our loan book, experienced steady growth of around 4%, broadly aligned with the economic growth in Cyprus. Half of this year's growth came from the continuing buildup of our international book, where we added around EUR 400 million of net lending. As this is a younger book, it has lower redemptions during the buildup period. Yields on loans continue to drift downwards from down 6 basis points on the previous quarter, reflecting large repricing to lower rates. Of course, we have and we will continue to ensure prudent underwriting standards and we will not sacrifice the quality of our loan book for growth. As a reminder, 99% of new exposures written since 2016 remains performing. Slide 21 shows our progress on the fixed income portfolio. Our fixed income portfolio stood at EUR 5.1 billion, representing 18% of the group's total assets, growing in line with guidance. The portfolio comprises of high-quality assets with average maturity of 3 to 4 years and is highly diversified. Moving now to noninterest income on Slide 22. Non-NII has increased by 14% on the prior year. Let me try to unpack and share how we look at this important source of revenue that underlines our diversified business model. We have what we consider high-quality revenues, which is our area of focus. This includes the fee and commission income, net insurance results and the FX customer-related fees. Altogether, this grew by 4% year-on-year. During '25, we had EUR 15 million of nonrecurring items, which included EUR 10 million insurance reinvestment and EUR 5 million of release of the premium tax on the life insurance business. These are not expected to be repeated. Additionally, each year, we have revenue, FX and gains on financial instruments, which we consider to be more volatile profit contributors. In 2025, this totaled EUR 44 million, up from EUR 32 million the previous year. Overall, noninterest income remains an important contributor to group profitability and covered 76% of 2025 operating expenses. Our insurance businesses are a valuable and recurring revenue stream for the group, as presented on Slide 23. In summary, our net insurance result amounts to EUR 54 million in 2025, up 11% year-on-year, reflecting mainly the first time contribution by Ethniki Insurance Cyprus. Overall, net insurance results contributed 18% of total noninterest income, and insurance businesses remain highly profitable, contributing almost 10% of the group's total profitability. Slide 26 provides an overview of operating expenses. As mentioned earlier, in Q4, we completed a voluntary staff exit plan, which led to a relatively higher charge of EUR 14 million in the quarter and totaled EUR 19 million for the year. While such expenses are part of the normal running of the business, at EUR 14 million, the Q4 charge was around double the usual run rate. Staff costs were up 4% on a yearly basis due to the step-up adjustment, which typically take place in the first quarter of the year, including salary increments and cost of living adjustments. On the other hand, other OpEx was well contained, reflecting an annual reduction by 2%. As expected, our cost-to-income ratio of 37% for 2025 was higher than last year, reflecting the impact of falling net interest income as rates normalize. Turning now to Slide 27 and asset quality. Our underlying credit quality is strong, evidenced by the low NPE ratio at 1.2% and a coverage ratio exceeding 100% at year-end. As a result of these strong fundamentals, our cost of risk continues to trend below our normalized 40 to 50 basis points level at 33 basis points for 2025. REMU is our engine to manage the stock of properties acquired from defaulted borrowers. REMU repossessed revenue stock continues to demonstrate significant progress with the stock decreasing further to EUR 377 million as at December 31, exceeding original plans to reach EUR 0.5 billion by the end of 2025. And we continue to manage our REMU stock prudently as it is carried on the balance sheet at below 70% of the current open market value. Now let's move to capital on Slide 28. The bank's capital position remains strong. We continue to build organic capital, generating 436 basis points this year, well ahead of our full year 2025 target of around 300 basis points. During the year, we had a positive CRR benefit of 100 basis points, absorbed around 15 basis points for the acquisition of Ethniki Insurance Cyprus, and had modest RWA growth. As at December 31, our CET1 ratio and total capital ratios were at 21.0% and 25.9%, respectively. Let me remind you that the capital ratios are after distribution accrual at 70% payout ratio, at the top of our distribution policy, and hence, the proposed dividend for 2025 has no impact in these capital ratios. I will now hand back to Panicos for his closing remarks.
Panicos Nicolaou: Thank you, Eliza. As I have mentioned at the beginning of our call, we will host our investor update on the 3rd of March 2026, in which we will outline our strategic priorities share our new financial targets for the years to come. We look forward to having you all present, either physically or virtually. This concludes our presentation. Let us open the floor for your questions. I will kindly ask you to focus on the results, and please keep outlook and strategic questions for the 3rd of March.
Operator: [Operator Instructions] The first question comes from the line of Boulougouris, Alexandros with Euroxx Securities.
Alexandros Boulougouris: Would it be possible to elaborate a bit more on the deposits and the seasonal increase? Does it reflect mostly corporate deposits? Is it retail? Could you give a bit more background on why we saw this increase? And the second question is regarding the VRS plan you took in Q4. Maybe if you could elaborate a bit further on that, how many employees it included and what cost savings we might expect from these.
Panicos Nicolaou: Okay. Thank you, Alex. The deposits increases across all the lines. So it's partly because of the general liquidity in Cyprus, a very high liquid market, plus the strong franchise and market position of Bank of Cyprus. So it's not something coming from a specific sector. It's generally coming from the economic activity in Cyprus. So regarding the VRS, yes, there was a bigger plan in 2025 versus what we had in 2024, I mean, double of size, more than 100 people exiting the bank versus 50 in 2024. And this was reflected on the Q4 results. And going forward, this will be annually assessed, but you should expect something similar most probably with the one that happened in 2024. But this would be annually assessed. You should expect small exit plans throughout the years.
Operator: The next question comes from the line Cruz, Hugo with KBW.
Hugo Moniz Marques Da Cruz: I have a series of questions. So first of all, the loan growth was also quite strong. So if you could comment on whether the current level of growth is sustainable or could improve even, given the strong economy. Second, I've seen you increased materially the amount of interest rate swaps on nonmaturity deposits. So is there any more room to grow this further? And what's the duration on the front book? Then a question. I think you didn't give guidance, perhaps I missed it, on the tax rate going forward, recurring tax rate. If you could clarify that, please. And then RWA density improved significantly Q-on-Q. So what drove that? Is there any capital optimization measures you've taken there? And are there any plans for the future? I think that's it for me.
Panicos Nicolaou: Thank you. Let me start from the loan growth. Obviously, it's better than was expected. This is partly coming from domestic economic activity in line with our strategy. Around 4% of the 8% comes from domestic activity. International growth moved faster than what was initially anticipated and contributed another 4% to the growth. Going forward, you should expect the international growth pace to reduce a little bit. But we will tell you more on the 3rd of March in Athens how we see loan growth going forward. Eliza, on swaps?
Eliza Livadiotou: Okay. So on hedging, we did increase our hedging volume, you can see it on Slide 17, during the quarter. That was the result of our volume growth. You mentioned the deposit and the loan, and especially the deposit book which grew in the year and especially in Q4, so that was the driver. As you know, hedging has been a very useful tool for us in managing our rate sensitivity through the various cycles of the interest rates. And we continue to view it as a very useful tool in this respect. We have around 47% of average interest-earning assets as being hedged. And that's probably or broadly the level at which we expect to stay going forward. Again, we'll give more color on the 3rd of March. But this 47% is not far off where we would like it to be on, let's say, a steady state going forward. Let me just remind you, I said this before, we don't have cliff effect hedges in the book. We manage them throughout the year in the period. And you asked about the duration of the front book hedges. The average is 3 years. We optimize on each specific instrument, but on average, it's a 3-year duration. So you should assume, on average, 3-year forward rate levels for the front book. I think that's all on the hedging. On the tax rate, there was some noise going through P&L because of the tax reform in Q4 from various components of the tax reform. You should view that as a nonrecurring noise in the P&L. But going forward, the guidance we are giving is that from an effective rate of around 14% on profit before tax, you should increase that to 16% or 16.5% of PBT. That's the way we think about the tax reform going forward. And lastly, on the RWA density. Actually, RWA stayed flat broadly Q-on-Q between September and December. And the reason was that the increase in the loan book risk-weighted assets was largely offset by the revenue stock reductions as well as some changes in the instrument our treasury team was using for the placement of the liquid assets and the hedging. So this was specific to this quarter, the treasury element. You should not assume that this will continue.
Operator: The next question comes from the line of Alonso, Alfredo with Deutsche Bank.
Alfredo Alonso Estudillo: I have a couple of questions and one follow-up. On the NIM compression, it seems that it's pretty limited. It should be close to -- or are you expecting some further pressure, especially on the beginning of '26? I'm not asking for the numbers. I'm not pushing you. For the Capital Markets Day, for sure. And there is also something on the insurance line. After all the one-offs and so on and the inclusion of Ethniki, what could be considered the run rate? Which is the run rate that we should be expecting if there is some recovery versus quite mild activity during the year? And finally, my follow-up on the tax impact, on the one-off. Could you provide the exact impact from the DTA recognition in the quarter, please?
Panicos Nicolaou: Okay. Thanks, Alfredo. On NIM compression, I can only say that we're approaching sustainable levels. I will say more during our Investor Day in March. On insurance line, I would say that, again, more on the future, I will say, in March. Sorry about that. But you should expect, I mean, Q-on-Q, we have this kind of one-off coming from the effect of the contribution of Ethniki Insurance, plus a one-off positive impact from premium tax reform on life insurance policy. But more on how we see insurance business growing organically, plus the full year contribution of Ethniki Insurance, we will be letting you know on March 3.
Eliza Livadiotou: And on tax, the DTA impact on its own, in isolation, was around EUR 25 million, but there were other moving parts because of the tax reform. So the net impact was around EUR 15 million in the P&L, all-in, the tax reform. And remember, these are noncash primarily. They will unwind, in essence, through the higher tax rate in the next few years.
Operator: The next question comes from the line of David, Daniel with Autonomous.
Daniel David: Congratulations on your results. A couple of quick ones for me. Can we assume that the low point in NII has now passed? Clearly, I'm not asking about guidance. But just a high-level comment would be good. The second one is just on CET1. Are there any regulatory headwinds coming? Anything that you'd call out going ahead? And looking forward, would you expect the CET1 to trend lower over time from here on? And then finally, just on insurance plans. Can you maybe just talk us through what you think you'll be potentially printing in primary debt markets this year?
Eliza Livadiotou: Okay. So in NII, again, we will guide in March 3 on the details. We should be approaching the low rates. We did have a seasonally higher quarter on deposits which helped by around EUR 3 million the NII impact. But we'll give a lot more color on all the moving parts, because there's a few of them, in a couple of weeks' time. On CET1 headwinds, no, we are not aware of any. There was an increase in the O-SII buffer for us starting January 1, that's in the slide in the back, of 25 basis points. But other than that -- which is not actually a headwind. It's a minimum regulatory requirement point. We don't expect anything else. On the capital trending lower or not, again, this is one of the big topics we do want to cover on the March event. So you will need to bear with us on that one. And finally, on issuance, we have 2 call dates coming up this year: the Tier 2s, which we did a liability management exercise back in Q4. So that's in April. And we also have a senior call date in June. So we are reviewing our issuance plans. Our MREL buffer is significant, but we do want to maintain flexibility. So we haven't got firm plans to announce. Everything will be assessed. But we do have call dates coming up, which are natural decision points for what we do.
Operator: The next question is from Memisoglu, Osman with Ambrosia Capital.
Osman Memisoglu: Just a few on my side. On the yield on performing loans, we see that the reduction is getting smaller and smaller in the quarter. Has the repricing gone through the system? Shall we assume the rates, of course, if ECB stays the same, if this is going to be flattening out? On the capital side, just a top line comment, if possible. And going back to the history, in the presentation as well, you've noted your ROTE on 15% CET1. Can we assume this 15% CET1 is the minimum target? Has it been the... [Technical Difficulty]
Eliza Livadiotou: Osman, apologies. It's very hard to hear you. Would you mind repeating that questions?
Osman Memisoglu: Sorry. Is this better by any chance? Apologies.
Eliza Livadiotou: Yes, yes.
Panicos Nicolaou: Now it's much better, thank you.
Osman Memisoglu: Sorry about that. So shall I repeat the first question?
Eliza Livadiotou: Yes. NPLs, but I didn't get it.
Osman Memisoglu: On the yields on performing loans, we're seeing smaller reductions every quarter. Can we now assume this is going to flatten out, assuming ECB stays here? Just wondering about repricing of your loan book. And that's the first question. Then on CET1 and ROTE, you mentioned 15% CET1 for your adjusted ROTE. You've done this in the past as well. Shall we assume this 15% is your management target internally? And finally, over the last few months, ahead of elections, there have been some proposals by political parties on tax temporary -- or actually not temporary, for the system. Just wondering if you have any comments, color on that front.
Panicos Nicolaou: Okay. Thank you, Osman. I will start from the last question. Okay. There's always an anti-PAT sentiment usually before elections, specifically with, let's say, the publications and about taxing the windfall profits for banks. The discussion in the parliament has not been started yet. It has not also been scheduled to be started. What I know is that the government and Ministry of Finance are strongly against that. And legislation to be effective in Cyprus needs to be signed by the President as well. It may also be a constitutional, but this is a different story. On the yield, I will say that we usually assume that we are approaching, let's say, a steady level, considering that the ECB rate will stay around 2%. But we will talk about that a little bit in more detail in our Investor Day. On the CET1, on ROTE, on capital, 15%, capital allocation, payout ratios and all of that stuff, it's the main point of discussion on March 3. So please allow me to defer answering the question for another, let's say, 2 weeks.
Operator: [Operator Instructions] We have a question from the line of Mr. Kantarovich, Alexander with Roemer Capital.
Alexander Kantarovich: Could I please get clarity on NPE coverage? It seems like the level of 120% is excessive. So my question is, theoretically at least, does this create a scope for provision releases in the coming years?
Panicos Nicolaou: You see, this NPE coverage is the total provision coverage for NPEs. Basically, our coverage is approaching, I think, it's 70%, Alexander, right? Okay? So it's well provided versus peers, but these are the numbers.
Alexander Kantarovich: Okay. Clear on that. And just to clarify on the taxation because the tax rate was artificially low in Q4, and I understand there are some accounting aspects at play. So should we just go ahead with your effective tax rate on pretax of 16% as indicated? Or there will be kind of a bulky one-off in Q1 increase in taxes?
Eliza Livadiotou: No. You should assume away what happened in Q4 as a one-off, I mean, as a nonrecurring event. All of the various components of the tax reform legislation were accounted for in Q4 because the legislation was enacted in December. So we don't expect one-offs in Q1 based on what we know at the moment, just the effective tax rate, as we discussed before, the 16% on PBT, yes.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Nicolaou for any closing comments. Thank you.
Panicos Nicolaou: Okay. Thank you all for your participation. As always, we will be very glad to take off-line any questions on 2025 results. And most importantly, hoping to see you all during the Investor Day early March for the outlook of Bank of Cyprus performance.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling, and have a good day.